Operator: Good morning and welcome to Texas Pacific Land Corporation's Fourth Quarter 2021 Earnings Conference Call. This conference call is being recorded. And at this time, I'd like to introduce your host for today's call, Shawn Amini, Vice President, Finance and Investor Relations. Sir, please go ahead. 
Shawn Amini: Good morning. Thank you for joining us today for Texas Pacific Land Corporation's fourth quarter 2021 earnings conference call. Yesterday afternoon, the company released its financial results and filed its Form 10-K with the Securities and Exchange Commission. These documents are available on the Investors section of the company's website at www.texaspacific.com. As a reminder, remarks made on today's conference call may include forward-looking statements. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. We do not undertake any obligation to update our forward-looking statements in light of new information or future events. For a more detailed discussion of the factors that may affect the company's results, please refer to our earnings release for this quarter and to our most recent SEC filings. During this call, we will also be discussing certain non-GAAP financial measures. More information and reconciliations about these non-GAAP financial measures are contained in our earnings release and SEC filings. Please also note, we may at times refer to our company by its stock ticker TPL. This morning's conference call is hosted by TPL's Chief Executive Officer, Ty Glover; and Chief Financial Officer, Chris Steddum. Management will make some prepared comments, after which we will open the call for questions. Now, I will turn the call over to Ty.
Ty Glover: I'm pleased to report that TPL finished 2021 in record fashion. The upward momentum we saw last quarter continued into the fourth quarter, with consolidated adjusted EBITDA of $130 million and daily royalty production of 22,000 barrels of oil equivalent. Likewise, for full year 2021, this was the best year in our company's history by almost any measure. Reflecting back on 2021, the year began with a lot of uncertainty on how the pandemic would turn out. Domestic and global demand for oil products were still far below pre-pandemic levels. Oil prices were below $50 and natural gas under $2.50. Levels I'm not sure anyone in the industry was excited about. But TPL has navigated through the worst of the volatility of 2020 and so we entered 2021 hopeful for a better year. As the year progressed, the global economy and commodity markets did experience some volatility, but overall they continued an upward trend. By midyear, we had $70 oil and $4 natural gas and the industry, particularly in the Permian, seem to find some solid footing. Our source water sales, which are a leading indicator of activity, started to noticeably pick up. You can see rig counts and frac crews also tick up week by week and our regular discussions with operators reaffirm that activity would be supportive of Permian production. While the first half of 2021 could be characterized as slow and steady, the second half of the year is when activity started to ramp up, especially on TPL acreage, compelling full year 2021 royalty production growth of 15% compared to full year 2020 production. Commodity prices also steadily improved throughout 2021, with TPL's full year 2021 all-in average commodity price realization over 80% higher than 2020 realization. Because TPL was completely unhedged for the entirety of the year, we were able to fully benefit from higher commodity prices. The combined impact of higher production and higher commodity prices resulted in TPL's oil and gas royalties more than doubling in 2021 compared to the prior year. Our non-oil and gas royalty revenue stream also saw meaningful growth in 2021. Source water and produced water royalties had year-over-year revenue growth of 24% and 15% respectively. Our easements and surface-related income was down modestly year-over-year, as producers continue to focus development around existing infrastructure and continued to draw down DUCs. In aggregate, our non-oil and gas royalty activities generated $164 million of revenue during 2021. In summary TPL's consolidated 2021 revenues of $451 million are 49% higher than the prior year. Our 2021 total operating expenses only increased by 4% versus 2020. As a result, the majority of revenue growth dropped to our bottom line. Looking ahead, we hope to carry the momentum from the second half of 2021 into 2022. With current commodity prices at levels that we haven't seen in nearly a decade, we see continued strong Permian development activity, including strong completion numbers on our gassy Loving, Northern Reeves and Culberson acreage. We've also seen strong permitting drilling and completion activities on our Midland Basin footprint, particularly the Midland royalty interest that we've acquired over the last few years are seeing strong operator activity. Gas well completions on acquired royalty interest exceeding TPL's legacy Midland and CRIs [ph]. In the Delaware, overall operator development seems to be a bit more skewed towards the New Mexico side, while activity on our Texas Northern Delaware footprint remains solid. For source water, the strong sales volumes we saw through the second half of 2021 have persisted into 2022. Operators continue to drill longer laterals and are deploying more simul fracs and zipper fracs these accelerated completion techniques require millions of barrels of water delivered over the course of just a few days. These types of completion methods benefit TPL, as our extensive source water infrastructure can accommodate the most demanding operators. On the produced water side, we continue to generate high margin and stable revenue stream. Our produced water volumes have moderated somewhat recently, as we see producers focus heavily on the New Mexico side of the Northern Delaware. But we expect produced water volumes to grow, as we are still seeing healthy development activity across both our Delaware and Midland surface acreage. Turning to surface leases easements and materials, which we refer to as SLEM the business has been the slowest to recover from pre-pandemic levels as producers continue to draw down DUCs to focus development around existing infrastructure, which has reduced surface revenue opportunities. We continue to see DUC drawdowns at a pretty healthy clip. As producers continue to add more rigs and as pad development extends beyond existing infrastructure revenue opportunities for SLEM should increase. We also continue to work hard on next-gen opportunities. This past January, we executed an agreement with Texas A&M AgriLife Extension to begin assessing and eventually implementing soil carbon sequestration opportunities across a few land plots spanning approximately 20,000 acres. Our goal with this project is to generate authenticated carbon credit, we can then use to offset our own Scope 1and Scope 2 emissions or also potentially monetize them. We continue to work on many other next-gen opportunities and we hope to share more updates in the near future. On capital allocation our Board raised our base dividend by $0.25 to $3 per share. More broadly our capital allocation priorities are still predicated on long-term value creation, and we continue to see attractive acquisition opportunities in the market. There are a number of structural factors that are motivating sellers, which include upstream, public valuations and significant discounts to historic level institutional capital drying up, for legacy oil and gas assets and zero mandates driving asset portfolio reduction and increasing legislative and regulatory uncertainty and complexity. With our exceptional legacy asset base our ability to manage royalties and surface our strong balance sheet and attractive cost of capital we're in a uniquely advantaged position to purchase assets at attractive prices. All that said, we won't be underwriting acquisitions for the near term or long term $90 oil bed. We remain disciplined and focused. We're not trying to grow for the sake of growth itself. Rather, we want to add more royalty production, more free cash flow, more surface more next-gen cash flows, on a per share basis on a near-term and long-term basis. Our stock price continues to be dislocated while underlying fundamentals remain strong and TPL retained a lot of flexibility to execute buybacks dividends and possibly special dividends. Our capital allocation strategy is agnostic across methods and we will pursue those strategies that will have the most long-term value for shareholders. So if that means buying back stock, then we will buy back a lot of stock. If that means increasing our dividend, we can increase our regular dividend and issue special dividends. Finally, I wanted to spend some time talking about the seismicity issues in the Permian and recent regulatory actions. As many are aware, Texas and New Mexico regulators have established certain seismic response areas or otherwise referred to as SRAs to outline regions experiencing an increase in seismic activity. Seismic activity in these areas has been attributed in part to saltwater disposal wells, otherwise known SWDs. In short, it's generally understood that disposing of produced water in deep subsurface zones along preexisting faults is likely instigating seismic activity. Thus, the primary attention for regulators and the industry is to try and limit SWD injection rates within these sensitive areas. So far, there have been two SRAs in Midland and one in the Delaware imposed by the Texas Railroad Commission. Only the Delaware SRAs that spans Northern, Culberson and Reeves counties overlaps with TPL surface acreage. Regulators here have requested that operators limit daily downhole injection volumes and operators have generally been able to accommodate these limits, without much disruption to ongoing development and production activities. Specific to TPL, the Culberson-Reeves SRA covers a fraction of the SWDs located on TPL surface. Over the years, we've been deliberate in spacing SWDs throughout our surface footprint. As a reminder, TPL does not own or operate disposal wells or related SWD infrastructure. Rather our produced water royalties are derived and governed by previously negotiated long-term contracts. Most of these contracts are acreage dedications covering around 450,000 acres where TPL generates the fee for produced water that is stored directly on or travels across our land. Even if a specific disposal well on or near TPL surface gets shut down, as long as that diverted water crosses our checkerboarded surface footprint to another well on or off TPL surface, we will continue to generate a royalty fee. With this contract structure, no matter what happens to produced water, whether stored transported across treated or read, TPL will generate a fee. As said years ago that, the Delaware's high water cuts would likely necessitate multiple solutions as development increases and our contracts were designed specifically with this in mind, allowing TPL to participate in the value chain regardless of outcome. Longer term, if SWDs or areas adjacent to our surface footprint can shut down or restricted from accepting incremental produced water volumes, the diverted water that ends up crossing TPL surface to access nearby disposal wells or infrastructure will have to pay us a fee. We believe that longer term our produced water royalties will ultimately benefit given that we can provide logistical, solution flexibility across a vast surface footprint. We've already held many discussions with upstream and midstream operators on this issue, and I can assure you that, the industry is committed to finding a sustainable resolution. We're not just seeking ways to deal with current produced water volumes and much of the efforts are also focused on how to proactively implement longer-term best practices to accommodate future development. But it's still early solutions are likely to entail a mix of options such as perhaps storing produced water in shallower geologic zones, taking greater care to space SWDs further, apart and more recycling. We're also actively looking at options beyond just downhole injection that would involve new technologies geared towards reuse and repurposing. Fortunately, for us our surface footprint and vertically integrated model allows us to explore every available option and we can help facilitate and execute on those solutions for the benefit of all stakeholders. With that, I'll turn the call over to Chris to discuss our 2021 fourth quarter and year-end financial results.
Chris Steddum: Beginning with our operating results. Total revenue for the fourth quarter of 2021 was $147.2 million compared to $74.3 million for the same quarter last year, a 98% year-over-year increase. The increase in revenues is primarily from higher royalty production, higher commodity prices, higher sourced water sales volumes and higher produced water volumes. We were able to fully benefit from rising commodity prices as we were completely unhedged during the quarter and we remain unhedged today. For the fourth quarter of 2021, we had net income of $79 million or $10.21 per share. This compares to $44.8 million of net income or $5.77 per share in the same quarter of the prior year. Adjusted EBITDA was $130.3 million compared to $61.2 million for the same period last year. Oil and gas royalty production volumes were approximately 22,000 Boe per day in the fourth quarter of 2021 compared to 17,000 Boe per day for the fourth quarter 2020. Production this quarter benefited from increased activity on our royalty acreage and from production associated with periods prior to the beginning of the most recent quarter. At the end of the fourth quarter 2021, TPL's royalty acreage had 7.2 net well permits 6.6 net drilled, but uncompleted wells 2.5 net completed wells and 48.1 net producing wells. Moving to the expense side. Our operating expenses were $21.3 million for the fourth quarter of 2021, up from $19.1 million in the fourth quarter of 2020. Turning to our balance sheet. At the end of the fourth quarter, we had $428 million of cash and cash equivalents, and we continue to carry no debt. In the fourth quarter of 2021, capital expenditures were $4.9 million which was primarily spent on electrifying our water sourcing infrastructure and investments in corporate assets. On February 11th 2022, our Board declared a cash dividend of $3 per common share payable on March 15th to shareholders of record as of March 8th. This represents a $0.25 increase from our most recent regular dividend. During the fourth quarter of 2021, we bought back 6,979 shares of stock at an average per share price of $1,248. With that, operator, we will now take questions.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Derrick Whitfield from Stifel. Please go ahead with your question.
Derrick Whitfield: Sure. Good morning all and congrats on a strong year-end.
Ty Glover: Thanks Derrick. Good morning.
Derrick Whitfield: With my first question, I wanted to focus on, your views on return of capital in light of the health of your business and your balance sheet. Could you share with us your thoughts on where the best opportunities lie as you balance your growth versus return of capital priorities over the next few quarters? And more specifically, on return of capital, what do you perceive as the best mechanism to affect return of capital in light of your stock performance?
Ty Glover: Yeah. Look, I would say, -- like I said in my prepared remarks as far as return on capital or return of capital, if our stock price continues to remain dislocated for a period of time then we'll look at increasing buybacks. We just raised our regular dividend. And so I think, we've got a lot of flexibility there. And at the end of the day we're a rate of return-driven organization, so just wherever we feel like we can get the best return.
Derrick Whitfield: Okay. That's certainly fair. And then, with my follow-up, I wanted to focus on corporate governance. It's a topic that's likely received undue attention as a result of your stock and the performance. More specifically, I wanted to ask, if you guys could speak to the process the Board is following to evaluate the Dana McGinnis resignation. And the vote from last year's Annual Meeting to de-stagger the Board and perhaps provide reasonable timeline for the progression of these developments.
Ty Glover: Yeah. So that process is being handled by the Nomination and Governance Committee. As we announced after the voting results were released that process is being handled by the committee which consists of three independent directors. And I would just say one of those directors is our largest shareholder. And the process for both is definitely a priority. It's something that they're working on. And I certainly wouldn't take a lack of public disclosure as an indication of lack of progress. There's a 90-day timeframe there, where the Board has to make that decision and publicly disclose that. And so right now we're waiting on the Nom and Gov Committee to make a recommendation to the Board.
Derrick Whitfield: Appreciate that, Ty. And if then, I could ask another follow-up or two. I wanted to see if you could broadly speak to your business outlook over the next six to 12 months. As we think about the considerable increase in industry activity we've observed and Chevron and ExxonMobil disclosures, it would seem to us that you guys are positioned for relatively strong double-digit growth. Is that a fair statement?
Chris Steddum: Hi Derrick, this is Chris. I'll maybe field that one. When we look around, I guess, you're correct, you've got a couple of operators out there, like the two you mentioned who are definitely steering people towards pretty strong growth. One thing I would just keep in mind when you think about us and you look at Chevron and Exxon as examples, they are still a meaningful piece of TPL's production profile, water sales and disposal. But each of those tends to hover kind of around the 10% ZIP code. And so although those two are talking about strong growth when we look across the broader portfolio, I think we also tend to see that being offset by some of the other operators who are more single digit to flat profiles. And when I couple that and I look at our near-term inventory, right, so looking at like the current DUC count, we've definitely seen a drawdown that's been occurring over the course of the last year. And at the current rate of drilling, I'm not sure that there's been a replenishment. And so although we certainly have enough DUCs and wells that are in the completed category about to come online to produce some growth, I'm not sure if we feel comfortable saying robust double-digit growth. I think the robust growth we saw last year included a couple of quarters of incredibly strong completion activity like over three net wells. And as we look in the fourth quarter, all the data is not in, but I would suspect we'll be just over two net wells that were completed in the fourth quarter. And so it feels like there may have been a little bit of a slowdown from what was an incredibly fast pace in the middle of 2021. And so when we think about those activity levels, right now I wouldn't say that we see the same levels as we saw in 2021. But I still think it's going to be a strong year, we've got a nice backlog of inventory and so we certainly will expect to see some continued growth.
Derrick Whitfield: Thanks Chris. And then lastly, Ty thanks for your commentary on seismicity and taking that head on during the call. With the understanding that you guys have tight controls around the density of SWD wells, could you speak to your projected near and longer term business impacts if any?
Ty Glover: Yeah. So I would just say in the SRA that affects our property, the RFC has just implemented recommendations that operators reduce capacity in some of the wells. But I will say that the way that we've contracted that side of the business as far as acreage dedications and big AMIs and the royalty on a lot of the pipelines instead of the wells as water is diverted from one well to another, it doesn't really affect our business because of the way those contracts are structured. And that royalty is either on the pipeline or it's on an AMI, so water can move around within the development area and we will still get that royalty fee. I think some of the issues could be beneficial. Just because of the structure of those contracts we could see some water come to us through some of this increased regulation. So we're in constant communication with our operators with midstream companies and with the RFC to stay ahead of the issue and be a part of the solution because the last thing we want is for it to hold up development. And so I feel like with our involvement and the action that the industry is taking that we will be in a good place and we'll find a good solution for the problem.
Derrick Whitfield: That’s great guys. Thanks for your time and responses.
Ty Glover: Thanks Derrick
Chris Steddum: Thanks Derrick
Operator: Our next question comes from Hamed Khorsand from BWS Financial. Please go ahead with your question.
Hamed Khorsand: Hi, good morning. Would you be able to provide some details as to the misstatement on your taxes and how you've justified it going forward as far as the corrections you've made?
Chris Steddum: Yeah, hey, Hamed this is Chris. Yeah, let me give you just a little bit of background and color. As that's come in -- and one of the things that both myself and Stephanie Buffington, our CAO wanted to do was take a look at some of our advisers. And so you guys have probably seen, we engaged Deloitte as our new auditor this year. And we also went and engaged a new tax adviser. And as we worked with that tax adviser looking at both our current taxes and some historical periods, they came to the conclusion that the depletion that had been taken in the past was more than was allowed. So we really diligenced that and wanted to make sure that that conclusion was correct. And the team came to the same conclusion as our tax adviser that it had been incorrectly done in the past. And so what that misstatement is, is a correction of that past depletion amount from 2018 through 2020. And so I think the -- to put it in perspective, you're talking about just over $10 million $12 million $13 million over the course of three years, against billions of dollars' worth of $1 billion worth of revenue. And so in terms of the materiality, it's a fairly immaterial adjustment and that's why it didn't require a full restatement of financials. And so we're looking to put in place a lot of controls now to make sure that something like that won't occur in the future. But I think we're glad that we were able to find it make the correction and move forward. And so I think that's kind of where it stands. That's a little bit of background on what that is and we've definitely got a plan in place to get it all fixed in the future.
Hamed Khorsand: Okay. Great. And then the other question I had was just given where the price of oil is and producers just focusing on the DUCs they already have, is there any actions or strategies you're looking to undertake to take advantage of your land that's not being accessed right now be it either through using your balance sheet to finance producers or anything like that, just given that there's not a lot of drilling or new drilling occurring?
Ty Glover: I would say we're not considering any options as far as like financing and operators drilling program. We have seen a big drawdown in DUCs which means operators are probably going to need to add some rigs this year. So we're just making sure that we can do everything we can to make it easier for them to access and develop our land versus the acreage next door. And so that's what we focused on in the past, making sure they have the appropriate easements and infrastructure in place, making sure they have a sustainable source of water for completion, making sure they have somewhere to go in that produced water so that we can get wells turned online quicker and reduce costs and time lags for the operators. So that's where our focus is just using our assets to make it easier for those guys to develop.
Hamed Khorsand: Okay. And my last question was just given the amount of shares you bought back in this past year, is there a timing or any intention to announce a new stock buyback program? And would it be bigger than what you implemented in 2021?
Chris Steddum: Hamed, I think as Ty said, I mean we're probably not going to give guidance on that. But it's certainly something clearly with where the price is right now that we're going to consider and take a look at. And at the end of the day, that is a Board-level decision and it's certainly something they're focused on and we will communicate once any decision gets made.
Hamed Khorsand: Great. Thank you letting me ask questions.
Chris Steddum: Thanks, Hamed.
Tyler Glover: Thanks, Hamed.
Operator: And our next question comes from Chris Baker from Credit Suisse. Please go ahead with your question.
Chris Baker: Hey, good morning, guys. Derrick covered a lot of this but maybe a few different angles on the big topics. First question is just on the impressive growth in oil and gas production this quarter. I'm just curious if you could share any insight into what drove that result. And perhaps if you could share what the growth would have been on an organic basis, just backing out any accrual noise just in terms of the organic growth profile this year would be great?
Chris Steddum: Sure. Hey, Chris. Yeah, I think one of the big drivers I think as I kind of mentioned when I talked to Derrick is in Q2 and Q3 the level of completions that happened across our property were about as high as they've ever been. Any time we've been over three net completions that has marked really strong performance. In fact, the only time I can think of when we had three net completions was in the first quarter of 2020, right before the pandemic hit. So that was kind of the end of a culmination of a real high activity level through 2019 and early 2020. And so to have two quarters, Q2 and Q3 of 2021 where we also have that level of completion activity. I think that was really the big driver of the robust growth that we saw in 2021. And I would still say, like you see with us and even some of our peers in times of high growth, you definitely get some increasing accrual activity as it comes to like the royalty production. But I would still say, if you compare our full year production number to the 2020 production number, that's a pretty fair comparison of the actual organic growth that you saw across those assets. The vast majority -- sometimes on average you probably have a two-month lag, three-month lag for gas and NGLs, and so sometimes you certainly have checks that come in from beyond that period. But I think if you look at the whole year for 2021 compared to the whole year for 2020 that really should give you a good idea of the growth profile.
Chris Baker: Okay, great. And then, just on the acquisition front, it does seem like the retained cash going towards acquisitions is sort of the strategy today. Any sort of color on factors that you think might have prevented you from deploying capital there? Just curious if you could make any comments around the nice spread that you're seeing in the market.
Ty Glover: Yes. I mean there's definitely a lot of competition in the Permian. Right now people are really paying up for near-term development. I would say, in 2021, we looked at a lot of deals. We said in the past the bar's really high. But we actually evaluated over $2 billion worth of deals in 2021. We didn't transact for a number of reasons. But, I would say I think that should give everyone comfort that we are being disciplined and that we do transact and we won't be overpaying for anything. So -- and you're right about the cash balance. Right now, we haven't authorized any shares. We're very hesitant to use the leverage for M&A. And so, keeping that dry powder for future growth is really the only form of capital that we have right now to grow the business.
Chris Baker: Okay, great. And then just my last question on governance. You guys had mentioned the 90-day mark on the McGinnis end. Any color you can share in terms of the time line to get sort of a firmer view on de-staggering or an outcome in terms of that piece of the annual meeting?
Ty Glover: Yes. I mean that's being handled the same way as Dana McGinnis' resignation by the Nom and Gov Committee. And they're -- right now, they have not provided the Board an update. But as soon as I have an update, you guys will have one shortly thereafter.
Chris Baker: Okay, great. So, fair to think that we'll get some sort of announcement later this year?
Ty Glover: Yes, that's fair.
Chris Baker: Okay, great. Thanks guys.
Ty Glover: Thanks, Chris.
Chris Steddum: Thanks, Chris.
Operator: And ladies and gentlemen, with that we'll end today's question-and-answer session as well as today's conference call. We do thank everyone for joining today's presentation. You may now disconnect your lines.